Operator: Greetings. And welcome to the Adtalem Global Education Second Quarter Fiscal Year 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note, this conference is being recorded. I will now turn the conference over to our host, Maureen Resac, Vice President, Treasury and Investor Relations. Thank you. You may begin.
Maureen Resac: Thank you. I’d like to remind you that this conference call will contain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, with respect to the future performance and financial condition of Adtalem Global Education that involve risks and uncertainties.
Lisa Wardell: Good afternoon and thank you for joining us today. This quarter we continued to achieve strong operational results with revenue growth of 6.4% and earnings per share growth of 35% in the quarter. This was driven by operational execution and marketing fueled by prior period marketing spend, efficiency in admissions due to increased conversion improvements, new talent contributions and structural changes in several of our institutions and strong demand in the segments where we have strategically focused our businesses. Our past decisions to invest in marketing and operational improvements are bearing fruit and generating double-digit enrollment growth at Chamberlain, along with double-digit new enrollment growth at AUC and high single-digit new enrollment growth at Ross Med in the first half of fiscal 2021.
Mike Randolfi: Thank you, Lisa, and hello, everyone. Building off of our momentum from the first quarter and despite continued headwinds from COVID-19, we reported strong results for the second quarter of fiscal year 2021 with revenue increasing 6.4% to $283.1 million and diluted earnings per share from continuing operations excluding special items growing 35.1% to $0.77. Our prior strategic decision to invest in marketing combined with our continued operational execution and expanded offerings across both verticals drove our continued strong performance. As Lisa mentioned, we saw ongoing strength in new and total student enrollments Operating income and margin also benefited from continued cost efficiency initiatives focused on driving further cost reduction through centralized operations and reducing spend through supply management. Continuing to drive increased productivity is in our DNA through our technology and our centers of excellence by combining our purchasing across Adtalem institutions. These productivity improvements are a significant contributor to margin expansion during the first half of this fiscal year. Cost of educational services decreased 0.3% to $126.8 million in the second quarter of fiscal year 2021 compared with the prior year. This decrease was primarily driven by lower bad debt expense. Student services and administrative expense was $103.7 million in the second quarter, a 7.3% increase when compared with the prior year. We believe our student support is and will be a competitive differentiator that allows us to provide access to diverse student populations. We continue to thoughtfully step up investment in marketing and student recruitment and sales development to support future enrollment growth at our healthcare institutions and revenue growth within Financial Services. Adtalem has multiple vectors to drive future revenue growth, including capturing strong demand for Medical and Healthcare professionals, capturing the strong demand to the mortgage market and OnCourse Learning and continuing to innovate on its product offerings, driving growth in Becker’s continuing education business and providing a broad range of options for ACAMS offerings to certify and train employees of our customers against fraud and anti-money laundering. Our investments are focused on leaning into these vectors of growth. Consolidated excluding special items increased 24.4% to $52.6 million in the second quarter of fiscal year 2021, driven by increased revenue at Chamberlain, OnCourse Learning, decreased bad debt and efforts to increase efficiency. This was partially offset by increased advertising and marketing expense to support future growth. Net income from continuing operations excluding special items was $40.5 million, compared with $30.9 million in the prior year and diluted earnings per share from continuing operations excluding special items were $0.77, compared to $0.57, a 35.1% year-over-year increase. Now turning to our segment results for the quarter, in Medical and Healthcare revenue for the vertical was $234.4 million, a 6.5% increase compared with the prior year. The increase was primarily driven by Chamberlain, achieving all-time highs in both new and total enrollment in the September and November enrollment sessions. This was partially offset by lower housing revenue at the medical and veterinary schools due to campus closures associated with COVID-19 and lower medical school clinical revenue. Revenue at Chamberlain in the second quarter increased 13.2% compared with the prior year period. New and total student enrollment for the school increased 8.1% and 10.2%, respectively, in the November session. As only a few campuses started new students in November, new start growth was driven by Chamberlain’s three nurse practitioner programs, two of which launched in July of 2020. Revenue for the medical and veterinary schools in the second quarter decreased 2.4% compared with the prior year, driven by lower medical school housing revenue due to campus closures and lower medical school clinical revenue associated with COVID-19. We view these headwinds as transitory and expect that as the pandemic eases, we will resume growth in medical and veterinary school revenue. Medical and Healthcare segment operating income excluding special items for the second quarter was $51.3 million, a 23.3% increase. This increase was driven by strong enrollment trends over the past year for Chamberlain and operational efficiencies that had been a major focus area across Medical and Healthcare institutions. Turning now to our Financial Services segment, second quarter revenue was $48.7 million, an increase of 5.9% compared with the prior year, driven by revenue growth from OnCourse Learning and Becker. Growth at OnCourse Learning continues to be driven by leveraging its leadership position in a favorable mortgage market, as OnCourse Learning continues to be the vendor of choice for pre-licensure, exam preparation and the continuing professional education needs. At Becker, revenue growth was largely due to attracting corporate and B2C customers for CPA offerings and an increased number of corporate customers purchasing continuing education program offerings. Continue education grew 20% year-over-year, and as Lisa mentioned, we are very excited about the long term prospects of this rapidly expanding growth category. ACAMS revenue is roughly flat for the quarter as COVID-19 restrictions caused the loss of approximately $1 million of conference revenue in Q2 due to the Las Vegas Live Conference revenue being replaced with a virtual conference. Over the last 18 months, we have added four new certifications to address a broader range of customer needs, which provides us an opportunity to propel future growth. Excluding special items, operating income in the Financial Services segment in the second quarter increased 37.2% to $7.8 million. The increase in segment operating income was primarily driven by strong revenue growth in OnCourse Learning. Turning now to our balance sheet, we close the second quarter with cash and cash equivalents of $449.3 million, an outstanding bank borrowings of $292.5 million. We repurchased 1.5 million shares in the second quarter for a total of $45 million, and as a result, we had 50.6 million shares outstanding as of December 31, 2020. As we stated on our previous earnings call, we anticipate repurchasing up to $100 million of shares during fiscal year 2021. Turning to cash flow in the second quarter, net cash provided by continue operations was roughly flat, which was a significant improvement over the prior year period. This was due to both favorable trends in our year-over-year operating results, as well as timing of receipt of $36 million of Title IV funds in December that we would normally receive in January. Our capital expenditures for the quarter totaled $9.7 million. As a result, free cash flow used in the second quarter was $9.1 million, compared with free cash flow use of $67.6 million in the prior year period. We define free cash flow as cash provided by continuing operations and less capital expenditures. Strong free cash flow is a hallmark of Adtalem’s operating model, the company has generated $211 million of free cash flow on a trailing 12-month basis through December 31, 2020, and about $175 million when adjusting for timing of Title IV funds received in December that would typically be received in January. As we move forward, Adtalem expects significant free cash flow growth in the coming years. To provide more context, we would expect Adtalem’s standalone free cash flow to grow in line with earnings or at a low double-digit rate. All-in, post-integration, we would expect Adtalem to generate over $300 million of free cash flow on an annual basis. At any reasonable multiple this implies significant value creation for equity holders. Also this free cash flow generation supports our commitment to delever the balance sheet to below 2 times net leverage within 24 months of the close of the acquisition. Moving on to our outlook, for the full year fiscal -- for the full fiscal year 2021 due to our strong execution we are raising our earnings guidance. We continue to anticipate revenue this fiscal year increased 5% to 7% and we now expect diluted earnings per share from continuing operations, excluding special items to grow 28% to 32% inclusive of our share repurchases. As we look to the remainder of the year, we continue to see momentum across our institutions and businesses. However, as we enter the third quarter, we are seeing some modest incremental COVID-19 related headwinds that are impacting both revenue and expense, which we believe are mostly transitory. In addition, we are continuing to step up long-term investments to support student enrollments and growth in Financial Services. Collectively, we expect this will temper third quarter results. With this, we would expect the absolute level of revenue in Q3 to be roughly flat with Q2 and an absolute earnings per share to be sequentially lower than Q2 and represent the low point for EPS this fiscal year. As we move from Q3 to Q4, we expect to benefit from our underlying growth to more than offset these incremental headwinds and expect Q4 to be sequentially stronger than Q3. Beyond this fiscal year, we remain confident our standalone business will meet our mid single-digit revenue growth and low double-digit earnings growth targets. Additionally, we are excited about the future synergy savings and the earnings trajectory that Wardell will add. With that, I will now turn the call over to the Operator for Q&A.
Operator: Thank you.  Our first question comes from Jeff Meuler with Baird. Please state your question.
Jeff Meuler: Yeah. Thank you. Good afternoon. Just maybe a little bit more color on that last statement that you just made on the COVID-19 headwinds impacting revenue. Is it clinical availability? Is it just ongoing campus utilization below its typical level? What specifically are the headwinds?
Mike Randolfi: Sure. Let me just highlight, I would describe those as, moderate incremental headwinds and essentially, what I’d say is, we are moving from Q2 to Q3. We did see some slightly lower supply in terms of clinical as we moved from Q2 to Q3. That’s the primary difference. The other thing is as we are bringing campuses, as we are -- students are returning to campuses, we are starting to occur some slightly higher costs associated with having the campuses be ready for October 19 safety. So think about things like signage and PPE and cleaning supplies. Those two are creating some headwinds -- some moderate headwinds as we move from Q2 to Q3.
Jeff Meuler: Okay. And then you have always given us operational metrics related to educational outcomes. You gave them again today for all of the entailments to tuitions and all the test rates, NCLEX pass rates, et cetera. Can you give us any similar quality metrics for Walden? And I guess is there a plan to improve the outcomes to the extent to which they are not at your current standards and just any playbook that you have or anything that you did at Chamberlain over time would be helpful perspective?
Lisa Wardell: Yeah. Jeff, this is Lisa. Thanks for the question. As you know, we do focus on academic outcomes on the Chamberlain side. I think the best comparison with NCLEX, et cetera. And then we also look at the cohort default rate, because really that’s helping us determine what our employers partners want and need and whether students at the end of the day are getting placed for those degrees that don’t have NCLEX or U.S. Chamberlain  or something like that as it relates to the medical school. So let me start with the cohort default rates because I think that is helpful. And I would say that both of these areas we see is very, very good and the current Walden very strong, but also places where we have opportunity. Again, just as a level set in context, 85% of the degrees in Walden are graduate either Master’s or a doctorate level and then 15% on the undergrad, 5% of those are nursing. So when we think about the overall cohort default rate for Walden it’s around 6.8%, but it has been in the mid-6%s for four years. This is not a recent thing and it compares quite well both to not for profit for year cohort default rates of -- at 6.5%. And then also if you look at some of their online-only competitors Southern New Hampshire University, as an example, 12.5%, Phoenix 11% and then University of Walden they are global which is their only-online only at 6.1%. So we see them in line with their peers in terms of placement. But again compared to the Chamberlain or I should say overall Adtalem at 3.1%. We certainly will look to persistence and placement and increasing their employer partnerships and strength there. We know that Walden does have that now obviously their Title IV is right around 75% or so. So 25% of that is private plan pay and employer partners. But we see that as an area of opportunity. If we then discover NCLEX and then sort of S&P licensure, et cetera, while those are not published Walden, we do know that all of their NCLEX pathways is past-2019 to-date as an example or 2019 80% or higher in all the tracks and then average 85% or so NCLEX, sorry, pass rate on the S&P through 2018. But I wouldn’t as a reminder say that in comparison Chamberlain now has an average 2020-year-to-date, we are very proud obviously of 91.2%, which is versus the national average of 90.9%. But to remind you Chamberlain went from 81.5% average in 2015 to 91% or over 91% year-to-date in 2020. So we see that as a place where Chamberlain. It really have the best practices we know that we put that in place both for our current and then our new campuses that have consistently scored much, much higher. So we are excited about that. But I would just reiterate we see the academic outcomes at Walden being as a very, very strong currently.
Jeff Meuler: Okay. And then I heard you on your independent inquiry. But on the DOJ inquiry just any update on where that stands? And I think part of it’s about clinical site placements, so just how comfortable are you with their clinical site placement practices or is that something that needs to be improved upon post-acquisition?
Lisa Wardell: Yeah. Sure. I will start with that and I will let Steve jump in on the actual inquiry, so we are very comfortable with Walden’s practices and they use multi-tracked to facilitate but very deep faculty and hospital relationships. We know because some of those are similar or the same to the relationships with hospitals that Chamberlain has. Some are different, which is why we are excited about the complementary nature of that. But they do have very hands on student support for that preceptor selection and journey. They have extensive guys and they have faculties much like Chamberlain does, that will help guide the students through that process to find a preceptor and find clinical placement. As you know, 20% to 25% of the total students there are in those MSN tracks. It’s imperative, right, that they find clinical and are able to get their clinical experience. And we see through both the enrollment growth, as well as the overall cohort default rate that these folks are getting placed as they graduate many would hospital providers and preceptors and clinicals that they worked with during their education. So we are comfortable with Walden -- HLC, CCNA, are all comfortable with Walden’s policeman on a clinical side.
Stephen Beard: Yeah. What I would add on the inquiry itself is that we feel as good as we can under the circumstances. I will take you through why that is, just in light of some of the recent commentary on this, let me level set on the playing field here. As you will recall, this is all resulting from the Department of Justice, meeting an inquiry to Laureate is based on third-party allegations that he may have made certain misrepresentations about its Master of Nursings program. In response to that the folks at Laureate retained Sidley Austin to conduct a review of the matter and just before the end of last calendar year Sidley and Laureate went into the Department of Justice and presented the findings of that review. That finding found no evidence to support the allegations of misrepresentation to student or creditors. And now the parties are waiting obviously to the Department of Justice to come back and provide a perspective on what they think about the findings that were presented to them by Laureate. As you know, in the context of negotiating the purchase agreement, we negotiated broad access rates to Walden and we take an advantage of those access rates in the time we have between sign and close to undertake our own investigation to the matter and we completed substantial work in that regard. We are by no means done but we have done a considerable work and thus far we have not discovered any evidence that would corroborate or support the allegation in the initial Department of Justice inquiry. That said, I can’t predict for you with certainty where the DOJ will land nor can I tell you that we won’t find something and what remains of our work. But thus, far based on the investment of time and effort on our part, on Laureate’s part, we feel good that we have not yet found anything that would suggest that these third-party claims have merit.
Lisa Wardell: And Jeff, I would just add one thing to the outcomes, because I know there’s been discussion around graduation rates and I know those are certainly on the undergraduate level. I want to be very clear that, first of all, a lot of those quick -- those rates are full time first time students, which excludes the various students that Walden serves and in fact Chamberlain serves. I just want to be clear that, that Walden is serving a very vulnerable student population here is part of this massive education and retooling effort that this country and in fact the Biden administration have explicitly stated we need to do in the digital economy and we feel like we are well-positioned to help with that. So if you with the free University of Brussels or MIT or Harvard you wouldn’t be in this category. But three quarters of these students work full time Chamberlain and Walden would fall into that category. Their parents with children at home. Over 50% are first generation student -- generation college graduates and many come from diverse communities. So that is why we are focused. That’s why the Biden administration is focused on access and equity in education and healthcare. So we are really excited about the ability to be able to serve the student population, as well as drag them then through a career path with the greater extent of graduate, masters and doctoral degrees that we will get as a result of this transaction.
Jeff Meuler: Helpful perspective. Thank you, both.
Stephen Beard: Thank you.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets. Please state your question.
Jeff Silber: Thank you so much. I wanted to shift that more towards your operations first. You mentioned all the investments you have done in marketing and they really provided some benefits. But some of the metrics we are tracking, inquiry cost have really been going up over the pandemic period especially lately. I am just wondering are you seeing that -- you expect that to continue and could that maybe temper some of the margin expansion you are projecting. Thanks.
Mike Randolfi: Yeah. I will -- this is Mike Randolfi and I will take that. So what I would say is in terms of inquiry cost. I think you can’t look at an inquiry cost in isolation. What you have to look at is, when you are spending money on marketing whether you are bidding on a key word or spending money on a display ad, you have to look at the incremental lifetime value relative to the cost of acquisition. And so what I would tell you is, over the last 18 months, there’s been a significant increase -- and the analytics supporting that. So we are able to get at a pretty granular level. We are able to assess things like the value of keywords and what the cost is. And so we are able to invest very, very -- in very, very targeted ways that have very, very good returns. The other thing I would just keep in mind, I mean if you think about our medical schools. I mean those are students that have significant lifetime value. If you think about those are joined Chamberlain, those are students that have significant lifetime value. And then if you think about within our other businesses within Financial Services, we are supporting growing businesses that have tremendous opportunity. Becker in the continuing education side is a market that’s multi $100 million market. And our position is still relatively small but we have great brand permission to win. ACAMS, we have launched four new certifications within the last 18 months. We are supporting those certifications because we think they are going to provide -- they are really good for our customers but they also provide great growth factors for us as well, similarly on OnCourse Learning. So I think we can’t look at it just an in isolation. And so at the end of the day, we think we are increasing, we will be -- will give us the opportunity to increase enrollments and increase the number of customers in areas of our business that are high gross margin that are likely -- that is likely to drop down to operating margins. So I do not expect that to result in margin compression.
Jeff Silber: Okay. That’s really helpful. If I could shift back to Walden, and first of all, thank you for providing that separate deck with the increased amount of data on Walden. I think it has helped answer at least a lot of the questions that we have been getting. But of course, when you put out more information it just brings more questions. So I had a couple of questions that I just wanted to ask you. Hopefully you can answer them or we can do this offline. You talk about 88% of Walden’s EBITDA being from I think healthcare and behavioral science, is it possible to get that number just for nursing? And then on the cohort default rates we see provided a lot of good information, but you also provided some of the CDRs for your nursing programs, which were actually lower than Walden overall, excuse me, Walden’s nursing programs. Is it possible to get the data for CDRs for Walden’s non-nursing programs? Thanks so much.
Lisa Wardell: Yeah. So let me start with the 88% on the EBITDA and just walk through that a little bit and again there is, I guess, slide five on the supplemental deck that’s helpful for that. But the way we deal with this is this, the -- clearly the colleges of nurse science, excuse me, health sciences including nursing, which is about 30% of the overall Walden. But from our perspective the degree particular remember this is 85% graduate upfront, the all four of these colleges, the degrees in the social and behavioral sciences are extremely valuable to us and in great demand, particularly from employers and their requirements that they are putting or that are being put on them as they think about their staffing now, as well as post pandemic. So within that college of social and behavioral sciences, which industry or sort of nationwide the increase were up, end of last year around 63%. Certainly, Walden is seeing this increase in enrollment increase. That includes a master’s of social work, which as you know, we launched more recently in Chamberlain but still very, very small, right? You have to get through caps and increasing those. And we intend to do that, but a much more, much greater size currently in Walden Master’s of Public Health that it includes the healthcare policy, nurse educator, et cetera. And so then if you also look at other graduate programs within the education and management technology, we get a lot of questions I am sure you do too on, that is not core and that is not part of the Walden that is quote the productive part of Walden. But as we look at cybercrime and data science, again at the graduate level or we look at principal masters and doctoral degrees in principle readiness. Those are things that the market is demanding across multiple geographic regions that gives us scale, it gives us a great degree of ability to solve broader problems for hospital, systems and it drives a lot of the EBITDA including obviously the nursing piece. But the graduate nature of this program mix is what makes this valuable as a complementary set of degrees for at Adtalem Global. I am sorry the second part of your question was the CDR. So definitely as we look at the public CDR rate. We know that it’s going to be lower on the nurturing side, where it does not publish that. But we have a good sense of where we have placed that stand where we where we have opportunity to continue to get those skills programs in a place where those default rates are decreasing. So even within our talent rate are cohort default rate is lower on the medical school side, as you know and in fact our medical homes are significantly lower than U.S. medical schools. So that we -- so we know that we have the opportunity to do that.
Jeff Silber: All right. Great. I will get back in the queue. Thanks so much.
Operator: Thank you.  Our next question comes from Greg Pendy with Sidoti. Please state your question.
Greg Pendy: Yeah. Hi. Thanks for taking my question. First can you just kind of help us better understand as the goal here is to be a corporate solutions provider. Why, I guess, strategically it’s important from the customer standpoint to have sort of a big focus for graduate nursing, because it seems to me like you are sitting on Chamberlain a very good asset local cohort default rates well below the Title IV and good outcomes in the sense that there’s going to be a continued demand over the next couple years likely for nursing. Why do you need graduate as part of the corporate solutions?
Lisa Wardell: Yeah. Great question. And let me first start by saying, we also love our undergrad nurses, both pre licensure BSN, as well as our RN to BSN programs. The reason that I raised the gradual piece is, again, going back to the EBITDA over 60% of the EBITDA enrolled in the social -- in the health sciences space. And so that is a place where our employees are trying to do a couple of things. They are trying to acquire talent. The nursing shortage and just healthcare professional shortage in general is dire at this point. But then they are also trying to retain that, that talent and stop churn, right, because there’s a lot of competition out there for nurses with BSNs and there’s a lot of places that nurses can go to expand their career offerings. And so they are trying to solve for a talent acquisition development and retention issue and then at the same time, they are trying to solve for what I was called the social determinants of health. And so as seen in a big broad picture sense, the risk is being shifted from payers, from insurance companies to actual hospital and healthcare providers, who are now being told that they are responsible for return visits to the hospital. They are responsible for community health. They are responsible for making sure that people are taking their medication. That takes a much higher degree of employees who are well-versed and trained in social work and social health and mental health. And some of those things that did not have either as big of a place or in fact any place within these hospital systems. They now have to really think about that, as we think about public health more generally, not just as a result of the pandemic, but that has accelerated this need on the behavioral side a piece of the healthcare system.
Stephen Beard: And all of that is absolutely correct, but we would be remiss also if we didn’t point out the fact that in nursing in particular, these graduate degrees come with better pay, more career advancement, better hours and more autonomy in sort of the opportunity set for nurses. So if we think about our current our center of gravity in undergraduate nursing and being able to offer within the same family institutions and to the same set of employer partners that opportunity for advancement for nurses is an extremely attractive option for us.
Greg Pendy: Okay. Got it. And then just one more, I understand there’s a lot of transitory moving parts on the medical side at Ross. But can you just kind of remind us, I mean, in terms of peak to trough, you had a low incoming cohort, I guess, a while back due to some hurricane issues and whatnot. When does that kind of cycle out and when can you get kind of back to potentially more near peak occupancy or capacity, I should say, maybe?
Lisa Wardell: Yeah. Enrollment. Yeah. Absolutely. Well, we would say, we are well on our way. We see good momentum going into the back half of the fiscal year. As a reminder, the January calendar 2019 classes, the first class in Barbados for after the relocation from Dominica. And so I think if you look at the sort of information cycle or sales cycle if you will for physicians sort of first quick to enrolling in medical schools about a year about 300 days and so we had a period where we weren’t able to -- we couldn’t market where the school was, because we didn’t have a physical location. We have moved through that cycle and I think it’s apparent in our past September enrollments and we are seeing that momentum continue into this calendar year.
Mike Randolfi: Yeah. And if I can just add a couple things there. In the last quarter where we reported enrollments, new enrollments met that were 5.5% and total were 4.3%. And we also articulated that at Ross Med specifically new enrollments were up in the high-single digits, AUC had double-digit growth. And to Lisa’s point we feel really good with the trend we are seeing an increase as we move forward.
Lisa Wardell: And I would just say for the longer sort of term look back, certainly our peak was sort of 2015 with the highest enrollment. But if you look at the September of 2016, as an example, prior to the highest hurricanes that the Ross Med enrollment that year versus this year it’s 20% higher than it was in 2016 in September of 2020 and that was just at the beginning of us coming back to peak. So we are excited about that continued traction.
Greg Pendy: Got it. That’s helpful. Thanks a lot.
Operator: Our next question comes from Alex Paris with Barrington Research. Please state your question.
Alex Paris: Hi, guys. I just had a last question or two after all those excellent questions and answers. Last quarter and in prior quarters you quantified the impact of COVID on revenue? Did you do that for second quarter and if no, would you?
Mike Randolfi: Yeah. We did. It’s about $7 million impact on revenue and a similar impact on operating income for the second quarter.
Alex Paris: And then, in your guidance -- in your qualitative comments with regard to third quarter, you said that there’s some emerging potential incremental with modest headwinds from COVID, would you think that the impact on Q3 would be greater than Q2 from COVID?
Mike Randolfi: I would expect it to be modestly incrementally higher in the third quarter as compared to the second quarter.
Alex Paris: Okay. And in the supplemental deck that you provided today for the Walden acquisition, you talked about the adjusted EPS accretion, I don’t recall seeing that in the last deck. Is that new? And do you intend on releasing that sort of information post-close of the acquisition, are we going to move to an adjusted EPS sort of focus?
Mike Randolfi: Yeah. We will -- so we had adjusted EPS and last -- I don’t know, previously on the September 11th, when we provided the initial materials, we provided EPS. And the primary difference between the two was purchase accounting. So we wanted to provide a clean view for investors so they could see the impact without necessarily some of the noise that’s created by purchase accounting. We will assess and our goal will be to be as transparent as possible as to future trends and we will make sure our disclosures reflect that.
Alex Paris: Okay. That’s great. Very helpful. Thank you. Congratulations.
Mike Randolfi: Thank you.
Stephen Beard: Thank you.
Operator: There are no further questions at this time. I will turn it back to Maureen Resac to close. Thank you.
Maureen Resac: Thank you. And thank you all for joining our this afternoon. As always, if you have any questions, please reach out to me. Thank you for joining.
Operator: Thank you. This concludes today’s call. All parties may disconnect. Have a great day.